Operator: Ladies and gentlemen, thank you for standing by, and welcome to EverQuote's First Quarter 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I’d now like to hand the conference over to your speaker today, Brinlea Johnson of The Blueshirt Group. Thank you. Please go ahead.
Brinlea Johnson: Thank you. Good afternoon, and welcome to EverQuote's first quarter 2020 earnings call. We'll be discussing the results announced in our press release issued today after the market closed. With me on the call this afternoon is Seth Birnbaum, EverQuote's Chief Executive Officer and Co-Founder; and John Wagner, Chief Financial Officer of EverQuote. During the call, we will make statements related to our business that may be considered forward-looking statements under federal securities laws, including statements concerning our financial guidance for the second quarter and full year 2020, our growth strategy, our plans to execute on our growth strategy, key initiatives, our investments in the business, the growth levers we expect to drive our business, our ability to maintain existing and acquire new customers, our interest or ability to acquire other companies, our goals for integrations and other statements regarding our plans and prospects. Forward-looking statements may be identified with words and phrases such as we expect, we believe, we intend, we anticipate, we plan, may, upcoming and similar words and phrases. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We specifically disclaim any obligation to update or revise these forward-looking statements except as required by law. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including uncertainties with respect to the COVID-19 pandemic and the matters discussed under the heading Risk Factors in our most recent annual report on Form 10-K, which is on file with the Securities and Exchange Commission and available on the Investor Relations section of our website at investor.everquote.com and on the SEC's website at sec.gov. Finally, during the course of today's call, we'll refer to certain non-GAAP financial measures, which we believe are helpful to investors. A reconciliation of GAAP to non-GAAP measures was included in the press release we issued after the close of market, which is available on the Investor Relations section of our website at investors.everquote.com. With that let me turn the call over to Seth.
Seth Birnbaum: Thank you, Brinlea. Good afternoon and thank you everyone for joining us today. Our company, much like most of the country, has adapted to shelter-in-place brought upon by the COVID-19 pandemic. Our thoughts are with all the individuals and businesses impacted around the world and we extend our heartfelt thanks to all of the healthcare workers, first responders and other essential employees for their selfless effort. Throughout this crisis, we have been and remain dedicated to the safety of our team, our families and partners as well as our broader community. While we are vigilant and cautious during the rapidly shifting market dynamics brought about by COVID-19, we are fortunate that our company is in a strong position. Our online insurance marketplace is demonstrating flexibility and resilience as consumers continue to go online to shop and save on insurance, a nondiscretionary expense for the vast majority of auto, home and health insurance consumers. The insurance industry remains healthy with personal lines insurers showing strong financial performance, resulting in a number of our distribution partners, increasing bids and budgets since shelter-in-place began. Our employees were able to smoothly transition to work from home given that the foundation of our business is our proprietary distributed data platform and extensive use of cloud-based services for our products and systems. Our resilient business model continues to benefit from the network effects and the power of our marketplace for connecting insurance consumers and providers resulting in strong financial performance and we are raising our full year guidance, which Sean will detail shortly. Quickly touching on our first quarter results. We are pleased to report we exceeded expectations across all of our key financial metrics. Year-over-year revenue increased 56% and variable marketing margin, one of the primary metrics for managing our business, was up 72% year-on-year and we continue to expand adjusted EBITDA on our path to profitability, consistent with our model. We believe the changes forth by COVID-19 may benefit our business by accelerating the shift online in insurance. Our business continues to be strong and we remain confident in our long-term model. Before talking in more detail about the first quarter and progress on key initiatives, I want to address the dynamics of our business and market in the face of the COVID-19 outbreaks. During this unprecedented period, I've been humbled and inspired countless times by our dedicated and talented employees, who smoothly transitioned to serving our customers and partners remotely. We have adapted our business with a focus on maintaining a highly engaged in collaborative teams dynamic through such efforts as daily operating standups across our operating teams, weekly company-wide town halls, and daily one-on-one project team check-ins. We are pleased to see our team's productivity remains strong eight weeks into shifting remote. Our business model and operational efficiency also benefit from our proprietary bid to bind data technology, flexible cost structure, cloud-based service architecture, data and reporting infrastructure as well as established distributed communication tools and business processes. During this period, we have had no layoffs, no furloughs, and no reductions in employees’ salary. We continue to add to our talent base as we remotely onboard new team members. I'm also impressed by and thankful for our agents and carrier partners, who have shifted to remote operations and continue to partner with us to grow their businesses efficiently as we execute on our mission and work to deliver exceptional service to customers throughout this crisis. Truly, thank you. It's an honor to work with all of you during these challenging times. From a market perspective, we are fortunate that the insurance industry remains healthy. Our largest verticals, auto and home insurance, are benefiting from fewer claims being filed as consumers are staying home and driving less due to nationwide stay at home order. This has resulted in many carriers publicly reporting strong profitability for Q1 and passing savings on to consumers. Based on what we're seeing in our marketplace, some carriers are now investing more in online customer acquisition as we believe they are leaning into incremental profitability in their business and driving up new premium volumes, which may have moderated in the second half of March in the immediate aftermath of the shelter-in-place decision. In addition, we continue to see both consumer demand and provider budgets remain strong in our verticals, both for auto and non-auto. Early indications are that the impact from any moderation in premiums in the personal lines insurance market are being outweighed by increased profitability, which we believe support continued investments in acquiring consumers, particularly in large efficient online channels such as ours. A similar dynamic is occurring on the agency side of our business where we believe COVID-19 is creating a relatively favorable environment for EverQuote. After shifting to remote operations, we are seeing increased demand for our consumer referrals from agents in our marketplace and many agents are leaning into the transition from offline to online customer acquisition with some growing spend and reporting increased productivity. Some captive agents are also receiving COVID-19 release packages from their carriers, which can help support their marketing efforts. On the demand side of the marketplace, our offering provides consumers, who are belt tightening in a weaker economy, an opportunity to shop and save on the largely non-discretionary expensive insurance. We are proud of the feedback we received from consumers, such as one who recently shared with us that EverQuote has helped us narrow down, which insurers to look for. I like that it's a one stop shop. You go to one place and put in what you're looking for. This is more helpful than trying to navigate all the different insurance companies that are out there on our own, which would have been very time consuming. With the same coverage and number of vehicles, we saved $1,400 per year. Our surveys of individuals, who purchased insurance through our marketplace, indicate that consumers realized an average savings of $610, which we estimate has resulted in aggregate savings of billions of dollars or millions of consumers, who bought insurance through our marketplace, which is especially important now. While we saw some moderation in consumer shopping volume in late March and early April, we are seeing evidence that carrier support for consumers and agents as well as government stimulus efforts are positively benefiting consumer demand and that the performance of our channel for providers is reflected in increasing bids or pricing to EverQuote. Based on initial indications, we expect that the impact from any moderation in consumer demand will be offset by the benefits of a relatively more favorable environment for advertising costs. During Q1, we continue to invest and execute across our growth levers, growing provider coverage and budget, attracting more high-intent consumers to our marketplace and deepening consumer engagement resulting in an increasing conversion rate, while also growing and expanding across insurance verticals. Our traffic teams are executing well in growing consumer volume, delivering an 80% year-over-year increase in consumer quote request volume in Q1 year-on-year. We have also been successful focusing on channels that bring high-intent consumers to our marketplace and improving the workflows to enhance conversion. Our non-auto verticals, which consists of home and renters, life, health and commercial insurance revenue increased 90% year-over-year as we benefited from the network effects of our marketplace and from our targeted investments in growth. In our home vertical, for example, we are testing and implementing features that dramatically improve the consumer experience, increased conversion and leads a better partner outcome. While these improvements are consumer focused, our provider partners are receiving even more accurate and precise data than ever before, leading to fewer rejected referrals and more accurate filtering to align with their desired consumer profile. We also continue to add more providers and deepen our relationship with existing carriers and agents. This quarter, more than 95% of revenue from carriers came from those, who have been on our platform for more than a year. Our agency business grew its revenue by 62% over the prior year, adding over 1,000 new agencies to the platform and increasing revenue from our Accelerated Growth Program, or AGP, which consists of our larger agents by more than 30% since the start of the year. An example of our successful partnership with our AGP agents is John Heep, who started his agency from scratch seven years ago and turned to EverQuote to achieve rapid profitable growth. John shares that EverQuote helped him grow his business by 600 policies per year, a substantial percentage of which are for more profitable multi-line and longer-term consumers. At the beginning of the year, I listed three primary initiatives for 2020. Let me provide an update on each one. First, we established the goal of completing deep integrations with 100% of our carriers by the end of 2020 to improve the customer experience and bind rates or policy purchase rates. Integrations create a more efficient marketplace with less friction for consumers and providers, delivering better customer experience. One of our top five carriers, for example, recently launched a deep pre-fill integration where EverQuote populated over 20 data fields onto their online quote growth. This pre-fill reduce the need for the consumer to reenter information to get a quote and the carrier reported that the integration directly improve performance on their applicable campaign KPI by 28%. We understand that this leads to greater efficiency for the carrier, a better consumer experience and higher performance for EverQuote. At the end of the first quarter, we are over half way to our 2020 goal with 56% of our carrier partners deeply integrated and we continue to make steady progress. Second, we continue to build our engineering and data science capabilities as we seek to better leverage our large and rapidly growing dataset of consumer and carrier preferences to drive consumer satisfaction and operating leverage. We are creating unique experiences for each consumer profile and cost effectively testing, which approach best improves relative performance. This past quarter we added a number of great hires to our talented and growing data sciences and machine learning engineering team. And with these resources, we have launched significant ML automation to customize and improve many aspects of a customer's journey, which brings us to the third key initiative, team building. We have been successful hiring new talent while developing current talents to support growth, scale and innovate. During Q1, we expanded our team and hired a record number of new engineers in the quarter. We have experienced minimal attrition and are attracting, onboarding, developing and retaining employees successfully as we scale. We continue to hire and we have seen tailwinds in our engineering, tech and data talent recruiting. Some of our recent senior hires include David Brainard as Head of Engineering, who joined from Wayfair, Lee Bossio as Head of Insurance Data Services, who joined from Amazon, and Maya Gumennik as Head of Performance Marketing from TripAdvisor. Given our large and growing market, we believe a major lever for continued growth is building our team. In summary, we delivered a strong first quarter with solid execution across our vertical. Our key revenue growth drivers coupled with our disciplined approach to managing our operations led to strong financial results and cautious optimism even in the light of the macro environment. As our country adapts to what we expect to be prolonged periods of social distancing, we believe that the pandemic will accelerate digital transformation in the insurance industry, which has been a laggard moving online. We feel very lucky and are grateful to be in a strong sector and in the opportunity for EverQuote to be in a dominant position as insurance continues to shift online. At EverQuote, we will continue to evolve, refine and weave the elements of our growth and strategy together and work to increase value for customers, expand our business and maximize shareholder value over the long-term. We'll be smart, data driven and flexible, cognizant of how challenging this crisis is, but we remain optimistic on the year and beyond. I would like to thank our customers, our partners, and our shareholders for believing in our vision and for your ongoing support. I'm honored to work with this team that we continue to build and have the deepest gratitude for their dedication and hard work in these unprecedented time. I'm especially appreciative of our people ops team, who have been our unsung heroes in this period. Their countless efforts have enabled each employee to remain productive and supportive. We believe we will ultimately emerge as stronger company and have set the stage for future growth and profitability. Now, I'll turn the call over to John to provide more details on our financial results.
John Wagner: Thank you, Seth, and good afternoon everyone. I echo Seth sentiments and wish everyone the best during these unusual times. I'll start by discussing our financial results for the first quarter of 2020, provide some additional explanation as to how COVID-19 is impacting our financial performance and then provide guidance. We are pleased to report strong first quarter 2020 results across all of our key financial metrics, exceeding our revenue, variable marketing margin and adjusted EBITDA guidance provided last quarter. We delivered first quarter revenue of $81.4 million, up 56% year-over-year. We continued to achieve strong growth in our auto insurance vertical and even greater growth in our newer other insurance vertical, which includes home and renters, life, health and commercial insurance. First quarter revenue, in our auto insurance vertical, increased to $67.6 million, a growth rate of 50% year-over-year. First quarter revenue from our other insurance vertical increased to $13.7 million, a growth rate of 90% year-over-year, and this represents 17% of revenue. We delivered first quarter variable marketing margin, or VMM, which we define as revenue less advertising expense of $23.8 million, an increase of 72% year-over-year, which exceeded our guidance provided last quarter. As a percentage of revenue, first quarter VMM expanded to 29.3%, up from 26.5% in Q1 of last year, an increase of nearly 3 percentage points. The VMM expansion, this quarter, resulted from attracting more consumers to our marketplace at lower acquisition costs and with better unit economics. Once again in Q1, our growth was driven by a significant increase in the volume of consumer shopping for insurance on our marketplace. In the first quarter, we delivered an 80% year-over-year increase in consumer quote requests to $7.4 million. As we had anticipated and discussed last call, this substantial increase in the volume of quote request was accompanied by a 14% year-over-year decline in revenue per quote request to $11.01 for the quarter. Although there are various contributing factors to revenue per quote request, the volume of quote requests can often be most influential as our insurance providers fits for volume in our marketplace auction. Large increases in consumer volume in a given quarter can outpace insurance provider coverage and/or budget resulting in our marketplace monetizing less referral per quote request, which is what we saw in Q1. While revenue and cost per quote requests are metrics that provide insight into the dynamics of the EverQuote marketplace. It's important to recognize that we think of them as outputs of our efforts, which are primarily focused on growing variable marketing margin dollars. Said another way, success in consumer traffic may temporarily outpace marketplace distribution resulting in lower monetization of individual quote request on average. This is not a concern as we also realized an even greater proportionate reduction in advertising cost per quote request with a 17% reduction year-over-year to $7.78 in Q1. Our increased volume yielded additional variable marketing margin dollars, again a result that we primarily target as well as an expansion of variable marketing margin as a percentage of revenue. It's important to note that our reduction in cost per quote request was largely driven by our efficiency performance and the market for online advertising, unless by the influence of COVID-19 in Q1. First quarter GAAP net loss was $1.4 million, or a loss of $0.05 per share based on approximately 26.6 million weighted average shares outstanding. First quarter’s net loss was an improvement of $2.9 million as compared to the prior year period. We delivered positive adjusted EBITDA of $3.8 million or 4.7% of revenue for the first quarter, favorable to our guidance range. With non-advertising operating expenses consistent with our expectations, our adjusted EBITDA was the direct result of our better than expected VMM performance. On the balance sheet, we ended the quarter with $50.5 million in cash and cash equivalents, a $4.4 million improvement from the previous quarter end and the results of $3.9 million in cash provided by operating activities in the quarter. Before I dive into guidance, I'd like to address the impact of COVID-19 on Q1, our business today and how it's factored into our guidance. COVID-19 had a minimal impact on our Q1. From the time the national emergency was declared on March 13th through the end of the quarter, the volume of quote request remained largely consistent with the immediately preceding period, while the revenue per quote request declined approximately 5% and the cost per quote request declined approximately 7%. So we did have some insurance providers temporarily pause or alter their marketplace participation at the beginning of the crisis as they dealt with shifting their workforce to remote operations. These changes were fairly limited and we've seen most of these providers resumed their prior marketplace operations. As we've progressed into Q2, our marketplace has continued to perform well. While we have seen modest reductions in consumer traffic volume, it is largely consistent with the normal seasonal pattern we would expect in Q2. We also are experiencing some expansion in VMM as a percentage of revenue due to a combination of benefits from lower advertising costs year-over-year and sequential growth in revenue per quote request over Q1 levels. We considered these early trends in our guidance for the quarter and the year with revenue and VMM guidance that imply an increase to our VMM operating point from strong year-over-year quote request growth and sequential improvement in monetization. Now turning to the specifics of Q2 guidance. We expect revenue to be between $77 million and $80 million, a year-over-year increase of 41% at the mid-point. We expect variable marketing margin to be between $23.5 million and $25 million, a year-over-year increase of 45% at the mid-point and we expect positive adjusted EBITDA to be between $3 million and $4.3 million, a year-over-year improvement of more than 100% at the midpoint. For the full year 2020, we're pleased to reflect our strong Q1 performance and increase all aspects of our full-year guidance as follows. We expect revenue to be between $318 million and $327 million, an increase from our prior guidance of between $315 million and $325 million. We expect variable margin to be between $96 million and $102 million, an increase from our prior guidance of between $92 million and $98 million. And we expect positive adjusted EBITDA of between $12.5 million and $17.5 million, an increase from our prior guidance of between $10 million and $15 million. In summary, we delivered strong first quarter financial results. And while we were being thoughtful of the uncertainties related to COVID-19, we continue to feel confident in our outlook. We are particularly grateful to the efforts of our employees, who have rallied during this time of adversity to deliver solid operating performance. Seth and I look forward to answering your questions.
Operator: [Operator Instructions] Your first question comes from Ralph Schackart with William Blair. Your line is open.
Ralph Schackart: Great. Good evening and thanks for taking the question and I glad to hear that everyone is doing well in the businesses as well. Seth, maybe go back to some of the comments you made about with the unfortunate COVID situation that the dollar laggard to the shift of budgets online to insurance maybe benefiting from the unfortunate situation now. Any perspective you could share more color about your expectation of that shift in 2020 and perhaps in the 2021 and going forward. And then John, just on Q2 guidance, I know you had talked about some demand reduction being seasonal. I know Q1 is a big renewal cycle quarter for you in the industry. Just curious, as we think about the guide, was there any sort of pull through in Q1 or just some perhaps conservatism when you set the guide or some of that sort of paused activity? Any more color on that would be helpful. Thank you.
Seth Birnbaum: Sure. So, maybe two examples. What we've seen in the near-term, Ralph, and we believe will carry certainly for the near-term for a year or so is incremental profitability from the providers, from the carriers, specifically the P&C insurers will lead them to lean in. That's sort of we're confident and we're comfortable that they'll lean in on the back of incremental profitability. We have seen certain carriers actually open up entire states that were sort of bid down or had their budgets moderated because of loss ratios and those have obviously the loss ratios have reversed out and they've turned on entire geo. So we'd expect that kind of throttle open position from the carriers to benefit us and sort of increments up the online marketing spend for the near-term, which again is a year to two years from our perspective. The second kind of sign that I think would give you some color on it is we've seen agents, insurance agents, essentially increment up their online budgets with us. Specifically, we've now seen it in the past six weeks. The highest level of demand from our agent base in our platform than we've seen in our entire history. So, again, we believe that bodes well for the immediate term for the next year or two and it's significantly above where we expected it to be, certainly in the times of pressure, but it's above even the sort of normal range we would have expected for Q1 and flowing into Q – into the beginning of the quarter. So optimistic that these kinds of demands from both agents and carriers persists as we move forward and it is in fact the pulling forward or acceleration of the shift to digital.
John Wagner: And Ralph, with regard to the guidance, I'll give you a little color. The methodology that we use this quarter is the same as past methodologies, this idea of providing high confidence scenarios and high confidence guidance. We probably did widen the scenarios a little bit this quarter when we thought about those different scenarios, but in general we're proud and happy that we can produce guidance that at the midpoint for VMD is a 45% growth rate for Q2 on revenue still in Q2 a strong growth at 41%. So, we think of it as strong guidance and it has been colored by part of what we're seeing already in Q2, which is really a testament to the resiliency of the model. And so even a testament to the resilience that we can provide quarter and full year guidance because the model really has been fairly consistent. So it's surprisingly consistent in terms of the guidance methodology as compared to prior quarters.
Ralph Schackart: Great. Thank you, Seth. Thanks, John.
Seth Birnbaum: Thanks, Ralph.
Operator: Your next question comes from Mayank Tandon with Needham. Your line is open.
Mayank Tandon: Thank you. Good evening. Congrats Seth and John. I'm looking for too many beaten race quarter, so we'll take this one. So, a great job. First question would be, Seth and John, in terms of just the trends in the market one would think that with drivers driving less and then the carriers offering all kinds of discounts and rebates, but would have seen a sharper decline in maybe consumer traffic, but you haven't seen that yet. Is that partly reflected now in the Q2 guidance in terms of maybe slower trends on the consumer traffic front?
Seth Birnbaum: So, hi, Mayank. This is Seth. Thanks again and we're excited as well by the progress. So yes, what we've seen even with I'd say modest moderation in consumer demand, that's outweighed by two other factors that we've seen early on. One is some increasing demand from the provider side of the business in the form of increased bids, increased budgets from agents and carriers. The other way we are seeing is reduced costs in several of our large online marketing channels such as display or social, where there's still very strong consumer demand volume and the ad costs have gone down because folks in the travel industry and the e-commerce industry has exited. So those two trends kind of wash out any moderation in consumer demand for us at these times and so flow right into the guide.
John Wagner: And Mayank, you'll remember that Q2 is traditionally a time where we see a quarter that is usually flat to slightly down. That's just the normal trend, especially within auto. I'd say what's different this quarter than other Q2s is we are seeing a little bit of sequential increase in monetization revenue per quote request as well as that we’ll tick up in VMM operating point as well. So, a little bit better margin this quarter as well.
Mayank Tandon: That’s helpful color.
Seth Birnbaum: So we're excited about the op – yes, we're excited about the operating momentum, Mayank. And I would say one last thing with regards to the rebates or the pricing that we're seeing from the carriers, again, it's our belief and understanding that essentially the reduction in losses will stay ahead of any of these rebates or prices. So, in fact, there'll be realizing incremental profitability and some of the benefits for our provider partners and us will be incremental marketing lean in or demand.
Mayank Tandon: Right, that makes sense. So, thank you for that. Just one quick follow up in terms of the non-auto. Could you maybe parse that a little bit more in terms of what trends you saw between healthcare, home and life and some of the other verticals and maybe your expectations for the remaining of the year as these newer verticals ramp? Thank you.
Seth Birnbaum: So again, sort of the secular dominant trend we expect just given that those verticals are relatively new and even smaller than autos as we continue to see them grow. From an operating momentum perspective, we haven't seen much, if any difference at all, in the non-autos verticals and we expect them to continue to grow more quickly than autos through the year. But that having been said, we do sort of keep an eye on commercial. Now happily for us, small commercial insurance is exceptionally tiny. It's probably very, very small amount of revenue. So it's not very material for us, but we'll be thoughtful about how we invest in terms of head count on small commercial, just given that you're likely to see some disruption in the small business market no matter what anybody does or says.
Mayank Tandon: Great. Thank you so much.
Operator: Your next question comes from Michael Graham with Canaccord. Your line is open.
Michael Graham: Hey, thanks guys. Congrats on the performance, just a couple of questions. One on – can you just remind us, when you think about Q2 and the rest of the year, like how do you factor in consumers shopping for new cars and associated insurance versus sort of switchers? I think a couple of years ago you had talked about how some of the European markets have a lot more switching behavior and one of the things that could help you in the U.S. was sort of picked up. So just want to kind of ask that question and then I also wanted to ask specifically on the health vertical, can you just remind us, sort of where we are in the arc of that rollout, what are some of the important milestones on the calendar ahead and just wondering if you have to do anything additional to the product sort of as we get through the year here, like what are some of the key things you're working on? Thanks a lot.
Seth Birnbaum: Sure. So, recall. Hi Michael, thank you again, thanks for joining us and I appreciate the kind comments. You recalled we don't have much of any connective tissue with car shopping, 98%, 97% vast majority of the consumer demand is renewals is folk shopping to look for discounts, coverage, perhaps they've had a claim. So again, there's very little to no connective tissue for us with car shopping. In addition, switching obviously may be a net positive for us, but we're not reliant on it in our market. If a consumer comes through and finds out, Hey, I'm with a great provider and renewing with them is a good match, that's perfectly fine by us, there's a number of carriers and agents who in fact I think the vast majority I believe, run some kind of retention campaign with us to retain consumers, which we support for both the consumer and the provider. So again, we don't expect much impact at all from – any changes to car shopping or switching behavior, which is part of what's resilience about our marketplace model for insurance, right. So that's a benefit for us as well as our partners and customers. On the healthcare side, I mean it's just going to be continued investment in engineering and data head count, recall that, as we scale these verticals they're able to leverage the investments we've made in data, platforms, product systems. So it's a very high leverage activity scaling in the health vertical from an operating leverage perspective, but we will continue and do continue to add head count and talent, particularly tech talent to the healthcare vertical team.
Michael Graham: Okay. Thanks so much.
Seth Birnbaum: Thanks Michael.
Operator: Your next question comes from Ron Josey with JMP Securities. Your line is open.
Ron Josey: Great. Thanks for taking the question. Echoing the comments glad everybody is safe and sound and operating very well. So I wanted to ask just following-up on the comments around the moderation in consumer shopping, I just want to make sure I understand the dynamics here, you know 2Q seasonally is a little bit lower than 1Q. So with this moderation in line with what was expected to a certain extent, has it sort of stabilized off here? Would be question number one. And then as we think about the insurance carriers and the give backs and everything, but they're also advertising less. And so I'm wondering if you're seeing any impact from lower ad spend by the carriers on demand for insurance and renewals overall? And then lastly, John, can you just give us an update, we're thinking about overall M&A strategy with the dislocation in the markets, are there any change there, any that you might be thinking about as you think about being strategic to grow the business overall. Thank you.
Seth Birnbaum: Great, thank you again. Thanks for the kind comments, Ron. It's good to hear from you as well. No, this is not particularly atypical from what we see as a seasonal traffic patterns in the insurance market's going shifting from Q1 to Q2, as did over advertiser demand. So one thing to think about in terms of what we've seen Ron and is particularly interesting, a lot of the large personal lines, the auto and home carriers are massive advertisers on things like sports on TV. They're the perhaps the top one, two or three spot or all of them for football and baseball, and basketball. And so as these providers sort of have that channels no longer available to them, what we've seen is actually increased not just demand from those providers, but we then have increased capacity to advertise ourselves in the online channel to bring in incremental consumers, because we've seen some fade in things like display and social display marketing campaign costs. So we have capacity to increase consumer demand or bid into the consumer demand. At the same time, as providers are actually seeking to grow the online channel, especially with the absence of some of the big offline channels for them. And again, recall that we run the business for variable marketing margin. So one of the aspects of our business model being an online insurance marketplace is we have this flexibility and resilience. If we can decrease ad costs while maintaining volume, while increasing the revenue we're seeing from providers, variable marketing margin can grow. And in fact, that's what we believe we're seeing as we head into Q2.
John Wagner: So Ron, on the M&A side, you'll remember that this business has been growing completely organically until now. And we have in the last couple of quarters started to build out kind of that M&A muscle in order to be able to look at opportunities, at least opportunistically. I would say we're starting to get a little more disciplined around that. And to your point, this certainly is a timing which we think, not just in the near future, but over a number of quarters here we may see some opportunities that wouldn't have been present without the COVID-19 and what it might do in terms of rippling through smaller businesses. So we do think it could present some opportunities for us in an avenue that we have not explored yet.
Ron Josey: Got it. Thank you very much.
Seth Birnbaum: Thanks, Ron.
Operator: [Operator Instructions] Our next question comes from Jed Kelly from Oppenheimer. Your line is open.
Jed Kelly: Great. Thanks for taking my question. Just given the current dynamic in terms of some of the advertising campaigns you're starting to run, can you talk about the ability sort of to stimulate demand at some of the campaigns, given that consumers now are tightening their budgets?
Seth Birnbaum: Sure. I mean, again I want to emphasize we still see a typical operations in the consumer demand side of our business. And what that means Jed is that, as advertising costs and these are some very big channels, these are great ways to reach consumers who might be looking for discounts or renewals or price shopping especially now. So again, the resident demand will be there because folks are going to be seeking incremental ways to save money, that's the belt tightening we referred to in the call. But as folks do that, remember our ad costs in some of these channels will be reduced because there's simply less competition. And I don't mean infra insurance, I mean things like e-commerce, travel there's other verticals who are basically paused out of the online landscape. And that enables us to lean in to the resident consumer demand that's out there and market our services to consumers to save money and shop for insurance.
Jed Kelly: And then, just given what's going on in the technology sector in Boston, there is going to be quite a bit of tech talent maybe looking to get to a platform that's a little more insulated from this. So can you just talk about where you kind of see your capital structure and then how you want to sort of be aggressive in hiring like tech talent?
Seth Birnbaum: Well, maybe I'll let Wag take the cap structure question. I'll just talk about the tech talent. We've seen Jed, perhaps the biggest tailwind we've had in tech recruiting since we started the company. We had this past quarter, the most successful quarter we've had in recruiting engineers and data analysts and that's the add to an already great team, that's fully committed and developing. But in terms of hiring, for us it's been a very successful period, we do to your point to expect that to continue the business operations and momentum in the business we believe remains strong. So we're in a position to continue hiring great tech talent. And that tail tailwind was certainly observable through Q1 and up until very recently, I'll let a Wag – John comment on the capital structure here.
John Wagner: Jed, when you say capital structure, you're meaning particularly with regard to hiring because there is an aspect that says, the stock, the company has continued to perform well through this period of time and it does position the company as a kind of stable, consistent grower, even in the Boston market. So we are seeing some of the other Boston technology companies that have been really aggressive high flyers and that we've competed with for talent, some of those are contracting, not hiring. So even when you look at kind of the capital – even when you look at our stock performance, I think it reflects the fact the business has continued to perform well. And then certainly as one, that's kind of one of the leg of the stool in terms of compensation, the equity that we're able to attract folks with is real. And it has performed consistently, so I think we're starting to get benefit from that and starting to compete very well in the Boston market with some of the larger ones in town.
Jed Kelly: Thank you.
Operator: Your next question comes from Aaron Kessler with Raymond James. Your line is open.
Aaron Kessler: Great. Congrats on the quarter and then just a couple of questions. First, we've got some of the questions from a few investors, kind of how important is new auto purchases as the percentage of the business on how do you maybe adjust the slower car sales right now ? And obviously as rates have been declining, maybe just talk about have you seen ad rate start to tick back up in April? Or kind of what's been the recent trend there? Thank you.
Seth Birnbaum: Yes, net of seasonal sort of regular seasonal patterns, consumer demand remains – we see consumer demand remaining and has remained strong in Q2 and I would say that, incrementally there is likely, again we believe to be some shopping as people really do need savings and are looking to basically tighten their belts at this time. I would say this as far as being connected to car sales, some small fraction. Again this is truly like a just an estimate, it's single digit percentage of vast majority of our consumer demand are folks who already have insurance and are shopping or already have a car and don't have insurance and need to get it on the road. So there's little to no connective tissue between car shopping and auto insurance shopping.
John Wagner: It's often intuitive to think of those two things together, car shopping and insurance shopping. But if you think back to your last vehicle, usually when you're purchasing a car, you're focused on just transferring your insurance. It's later when you get the renewal in the mail that you think about actually shopping the price when it goes up or else you're answering just a fraud based call to shop for insurance. All the providers usually have shop with us and you'll save money in their messaging. So that is much more of the catalyst for someone to coming to EverQuote to shop for insurance. It's generally about saving money on coverage or getting the right coverage and much less connected with the new auto sale.
Seth Birnbaum: With regards to consumer demand beyond the typical seasonality, perhaps what's most dramatic in the advertising landscape is the not big online non-insurance advertisers, e-commerce, travel auto, where the actual auto car sales have largely exited the online market. So we have seen and expect to continue to see reduced costs for things like display and social display, which are large marketing channels for us, Aaron. So ultimately we can lean in on those channels either for volume or more primarily for us, variable marketing margin. And that's reflected in our guidance.
Aaron Kessler: Yes. Great, thank you.
Operator: Your next question comes from Doug Anmuth from JPMorgan. Your line is open.
Q – Dae Lee: Hey this is Dae on for Doug. Thank you for taking our questions. The first one is corporate cost acceleration in 1Q, I was just wondering if you can talk a little bit about the drivers behind that growth, any particular channels that may be working well for you? And has that changed early in 2Q and how should we think about the trajectory of quote requests growth as we go through 2020 and comps get tougher? And then in terms of lower pricing that you're seeing in the traffic acquisition channel, are you factoring any of your competitors or non-insurance competitors coming back into these advertising channels in second quarter?
Seth Birnbaum: So, yes, let's break it up. So let's start with Q1, Dae. So in Q1 we drove incremental volume and/or incremental variable marketing margin in literally every one of our major marketing channels, search, display, social, partnerships, re-engagement, remarketing, retargeting, that entire bucket of re-engaging consumers, literally across the spectrum of our traffic operations we saw either an increased volume and/or increased variable marketing margin through incremental volume or cost reduction. That has largely continued into Q2, there is incremental opportunities in display and social. Now you will recall Q2 is seasonally, typically a lower volume period of the year for us. And so we're seeing that naturally, but underlying that, the cost for display and social, which as you know are big advertising channels for non-insurance competitors, folks like travel and e-commerce have gone down substantially. And we'd expect those to continue certainly through Q2 and perhaps through the end of the year for the near-term and until the market really begins to turn on. All of that having been said, I would say we've been thoughtful about the ins and outs around advertising costs as we project out.
John Wagner: Yes. And I think certainly within the year, you have a very different story in terms of comps in the second half of the year. I think, we've said before, that as we look out the growth numbers will get harder in the back half of the year. We're confident we can continue to maintain growth along at least at long-term growth level of 20% and do that while increasing profitability and also expanding variable marketing dollars. So that's really what we've reflected in the full-year guidance, where all were just expanding VMD dollars as well as adjusted EBITDA increasing both of those in the back end.
Q – Dae Lee: Okay. Thank you.
Operator: There are no further questions at this time. I'll now turn the call back over to management for closing remarks.
Seth Birnbaum: Thank you so much. So, we delivered a strong quarter capitalizing on the insurance shift online. We remain vigilant during this current market environment and we feel very, very fortunate that our company is in a strong position and believe we've set the stage for future growth and profitability. I want to thank you all. Thank you all for joining us today. I thank you sincerely for all your support. Stay safe and be well. Thanks so much.
Operator: This concludes today's conference call. You may now disconnect